Operator: Good day, everyone, and welcome to Entegris' Q1 2022 Earnings Release Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Bill Seymour, Vice President of Investor Relations. Please go ahead, sir.
Bill Seymour: Good morning, everyone. Earlier today, we announced the financial results for our first quarter of 2022. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties, and actual results could differ materially from those projected in the forward-looking statements. Additional information regarding these risks and uncertainties is contained in our most recent annual report and subsequent quarterly reports that we have filed with the SEC. Please refer to the information in the disclaimer slide in the presentation. On this call, we will also refer to non-GAAP financial measures as defined by the SEC in Regulation G. You can find a reconciliation table on today's news release, as well as on the IR page of our Web site, at entegris.com. On the call today are Bertrand Loy, our CEO; and Greg Graves our CFO. With that, I'll hand the call over to Bertrand.
Bertrand Loy: Thank you, Bill, and good morning to all. We are very pleased with our strong performance this quarter, which was driven in large part by our team's great execution in what remains a very dynamic operating environment. Looking at our first quarter performance, sales were up 27% year-on-year, growth was significant across all three divisions driven by robust industry conditions and more wafers produced at the leading edge, which continues to translate into strong demand for our products and solutions. Gross margins were up significantly in the quarter. EBITDA margins were almost 32% of sales, representing a 37% increase year-on-year, and non-GAAP EPS was up 51% year-over-year, further demonstrating the leverage in our business model. Let me now provide more color on our first quarter's sales performance. Our growth in the quarter is the result of our expanding position in leading edge logic and memory nodes. From a product standpoint, we achieved significant growth in our unit-driven solutions, [that all] [Ph] of increasing importance to our customers' technology roadmaps. Those included liquid filtration, advanced deposition materials, and surface preparation solutions, which collectively grew 24% in the quarter. Growth was also very strong in our CapEx-driven solutions, including fluid handling, [indiscernible], and gas filtration and purification products which, in the aggregate, grew more than 50% in the quarter. As you know, these solutions are linked to new investments in additional fab capacity. And, of course, when this new fab capacity comes online it will ultimately drive sales of our consumable products. One other interesting theme worth highlighting is the ongoing strength in mainstream fabs which have been driving sales of our 200-millimeter wafer handling products and advanced filtration solutions. This growth has been driven by higher mainstream fab activity, new capacity additions, and new requirements for greater chip reliability. Sales of our Aramus high purity bags, used for COVID-19 vaccines, were up year-over-year. However, our expectations for Aramus have moderated for the full-year as demand for COVID vaccines has started to wane. Moving on to our pending acquisition of CMC Materials, we are pleased with the progress we have made toward the closing of the transaction. As a reminder, on March 3, CMC stockholders approved the transaction. On the regulatory front, we cleared the HSR waiting period in the U.S., in January. And we have since received antitrust approvals in Korea, and in Taiwan. We are now awaiting approvals from a few remaining jurisdictions. So, again, on track, and we continue to believe that the transaction will close in the second-half of this year. We have also made substantial progress putting in place the capital structure to finance the acquisition, and Greg will provide you more details on that in a moment. Finally, our joint teams continue to work diligently on integration planning. We are in the process of developing a detailed integration plan following a playbook we have used in previous transactions, including the ATMI acquisition. I would also like to highlight our recent announcement that Todd Edlund, our COO, will be retiring from Entegris at closing. Todd has been a great partner to me, and I cannot thank him enough for the impact he has made on Entegris during his 30 years of service. Post close, we will have a flatter leadership organization, positioned to rapidly complete the integration, drive revenue and cost synergies, and pay down the debt. Now transitioning to our outlook for the full-year, we are increasing our 2022 guidance. And we now expect revenue to grow 18% to 20%, which reflects the combination of stronger market growth and greater market outperformance for Entegris. We also expect EBITDA flow through to be in line with our target model, and expect full-year 2022 non-GAAP EPS to exceed $4.25 per share. Embedded in this guidance is the expectation that the industry will continue to face supply chain challenges for the balance of the year. And to be clear, this guidance does not include any impact from the pending CMC acquisition. Looking further ahead, we continue to have a high degree of conviction in the positive secular growth of the semiconductor market driven by accelerated digitalization, high-performance computing and IoT, to name just a few. These emerging applications will require new levels of performance from IC devices, and this is why the semiconductor manufacturers are investing in very ambitious process technology roadmaps. These roadmaps are calling for both the introduction of more complex device architectures as well as further miniaturization of the critical dimensions on the wafer. This is obviously great new for Entegris because we operate at the crossroads of material science and materials purity. And these two factors are two of the most critical enablers to the semiconductor technology roadmaps. And as we have laid out, these trends are leading to a rapidly expanding Entegris content per wafer. Wrapping it up, we are pleased with our strong start and our prospects for the rest of the year. We have never been more optimistic about the relevance of our solutions to the technology roadmaps of our customers, and our opportunity to deliver profitable growth for years to come. Finally, I want to take a moment to thank our customers for the trust and the confidence they place in Entegris, and once again thank the Entegris teams around the world for their incredible focus and commitment in this challenging business environment. And, of course, we look forward to completing the combination with CMC Materials and to welcoming the team to Entegris. Now, let me turn the call to Greg. Greg?
Greg Graves: Thank you, Bertrand, and good morning everyone. Before I cover our Q1 results, I wanted to provide an update on the financing of the CMC acquisition. In an effort to proactively mitigate the risk of the deteriorating interest rate environment, we have already put in place over $4 billion of the permanent debt financing for the acquisition. Earlier this month, we completed an offering of $1.6 billion of seven year investment grade senior secured bonds at a rate of 4.75%. And in March, we syndicated a $2.5 billion term loan at a floating rate of SOFR plus 300 basis points to be issued at the close of the acquisition. I am pleased with what we've been able to achieve, and the positive market reception to our offerings. On to Q1, our sales in the first quarter were $650 million at the high-end of our guidance, up 27% year-over-year and 2% sequentially. GAAP and non-GAAP gross margin were both 47.7%. Gross margins were better than expected, driven by strong execution and higher volumes offset in part by higher raw material and logistics costs and modest labor inflation. We expect gross margins, both on a GAAP and non-GAAP basis in Q2 and for the full-year to the approximately 47% to 48%. GAAP operating expenses were $146 million in Q1 and included $19 million of non-GAAP items, amortization of intangible assets, integration and other costs. Non-GAAP operating expenses in Q1 were $128 million in line with our expectations. Both GAAP and non-GAAP Q1 operating expenses included a $3 million contribution to the Entegris Foundation, which funds STEM scholarships for underrepresented groups. We expect GAAP operating expenses to be approximately $163 million to $165 million in Q2, reflecting higher integration planning and deal related costs. Non-GAAP operating expenses are expected to be approximately $134 million to $136 million. Q1 GAAP operating income was $163 million. Non-GAAP operating income was $182 million or 28% of revenue up 42% year-on-year and 3% sequentially. Adjusted EBITDA was $206 million and almost 32% of revenue. Moving to below the operating line, first I want to discuss the impact of interest expense related to the financing of the pending acquisition of CMC. In the first quarter GAAP interest expense was $13 million and non-GAAP interest expense was $8 million. GAAP interest expense included $5 million in checking fees associated with the term loan we syndicated in March. The $5 million in checking fees are excluded from non-GAAP interest expense as they are classified as transaction related costs until the time the acquisition is closed and funded. This will be true for all other financing done between now and close including the secured bond, we executed earlier this month. After close, interest costs related to the financing of the transaction will be included in both GAAP and GAAP interest expense. Both GAAP and non-GAAP tax rates were approximately 14% in Q1. As a reminder, the first quarter typically has the lowest tax rate of the year. For Q2 and the balance of the year, we expect both our GAAP and non-GAAP tax rates will be approximately 18% which will make our full-year '22 tax rate approximately 17%. Q1 GAAP diluted EPS was $0.92 per share. Non-GAAP EPS of $1.06 per share was above our guidance and up 51% year-over-year and 10% sequentially. Turning to our performance by division, Q1 sales of $196 million for SCEM were up 18% year-over-year and up 4% sequentially. Year-on-year growth is primarily driven by advanced deposition materials, surface preparation solutions and specialty gases. Adjusted operating margin for SCEM was approximately 25% for the quarter, up significantly year-over-year. The year-on-year margin improvement was primarily driven by the higher volumes. Q1 sales of $267 million for MC were up 29% from last year and 3% sequentially. Growth was strong across all major product lines in MC in Q1, including gas filtration, gas purification, and liquid filtration. The adjusted operating margin for MC was 37% for the quarter up significantly year-on-year, driven primarily by strong execution and higher volumes. Q1 sales of $198 million for AMH were up 33% versus last year. Year-on-year sales growth is strongest in products that benefited from the high level of fab investments, including wafer handling, and fluid handling and measurement solutions. Adjusted operating margin for AMH was 24% up both year-over-year and sequentially. The margin increase was driven primarily by the higher volumes. First quarter cash flow from operations was $64 million and free cash flow was a negative $21 million. As a reminder, the first quarter typically has the lowest cash flow of the year, primarily due to the variable compensation payments made during the quarter. Cash flow was also impacted by investments we made in inventory to support the continued strong demand from our customers and to protect our inbound supply chain. CapEx for the quarter was $84 million. We continue to expect to spend approximately $500 million in CapEx for the full-year, half of which is our new facility in Taiwan. Despite a challenging environment, the construction of the Taiwan facility is on schedule. During Q1, we paid $14 million in quarterly dividends. As a reminder, and as we said with the announcement of the CMC Materials acquisition, we have suspended our share buyback program. Now for our Q2 outlook, we expect sales to range from $660 million to $680 million. We expect GAAP EPS to be $0.67 to $0.72 per share, which again includes higher integration planning and deal related costs, as well as the pre-closing interest expense from the recent debt financing. We expect non-GAAP EPS to be $1.02 to $1.07 per share. In closing, I would like to express my gratitude to the entire team for a great start to 2022 and we look forward to another record year. And we look forward to combining the two companies. We are highly focused on the integration planning work and closing the CMC acquisition. Operator, we will now open up for questions.
Operator: Thank you. [Operator Instructions] We'll go to our first question from Toshiya Hari with Goldman Sachs.
Toshiya Hari: Good morning. Thank you so much for taking the question, and congrats on the strong execution. Bertrand and Greg, I had two questions, if I may, one on sort of the updated full-year guidance and the second on supply chain dynamics. First, on the full-year guidance, obviously you're taking the revenue outlook from 15% to 17% to 18% to 20%. I'm curious, what's changed in your view? Is that mostly market growth? Is it market assumptions that you're tweaking? Is that the outperformance on the part of you guys? I think you also talked about the Aramus bag outlook being a little bit more modest than previously expected. So, if you can kind of break that down for us, that would be super helpful. And then, on my second question, with the supply chain dynamics, Bertrand I think you've referred to that a couple of times, what are you seeing from a labor shortage or component shortage perspective, and to what extent are the lockdowns in China impacting you directly or indirectly? Thank you.
Bertrand Loy: Yes, so, thank you, Toshiya, a lot of good questions. I mean, let's start with the 2022 guidance. I think you already addressed most of the salient points here. So, we expect strong chip demand, and our outlook for the full-year is indeed calling out better industry conditions. Originally, we were planning on an industry growth of 10%. We are increasing that to about 12% and it's a reflection on wafer starts growing at about 8%, and the overall CapEx -- industry CapEx growing at about around 20%. We are encouraged by the strong execution of our customers, and the fact that many of the node transitions are expected to be largely on schedule. And this is obviously a very important consideration for us, because you know of the great opportunity per wafer that we have in new device architectures, and that's really the primary driver for the strong outperformance that we expect to deliver this year. We expect the organic outperformance to be about five to seven points. And that's going to be offsetting the decline we expect to see in our Aramus bag. As we've said all along, we were expecting some level of contraction in the COVID-related opportunities; we just didn't know when that will happen. I think we have the answer to that question, and it's [currently] [Ph] is happening a little bit faster than we thought. So, we expect the Aramus bag to be modestly down versus last year, so it's going to be a little bit of a headwind. And the last point for the full-year guidance is the very strong performance of the acquisition that we made last year, the Precision Microchemicals, which we expect will deliver about a bit short of one point of growth to the top line. So, if you wrap it all up you get to that 18% to 20% growth rate for the year. In terms of the supply question, we are supply-constrained, like everybody else in this space. I think that the supply constraints impact all three divisions in various ways. We have made a lot of progress. I mean, labor is no longer really a challenge. I think we've been able to staff all of our shifts in all of our major sites very adequately. But we are still facing a number of lingering supply challenges. The team has done a tremendous job managing these situations and finding solutions, and that's actually why we are able to commit to this very exciting annual guidance. But those supply chain issues remain. And then, finally, on your question about China, it is a developing situation. We saw a little bit of an impact in Q1. We expect that impact to be a little bit more significant going into Q2, and that's certainly something that we have taken into account in our Q2 guidance.
Toshiya Hari: That's great. Thank you so much. One quick clarification, if I may. Bertrand, I think on the Aramus bag business, three months ago, it was expected to be a tailwind to growth, right, accretive to growth?
Bertrand Loy: Yes.
Toshiya Hari: And I think you mentioned somewhere around the 100 basis point range. So, that's gone from a slight positive to a slight negative in terms of full-year growth, I just wanted to clarify.
Bertrand Loy: Yes, that's correct. I mean, remember that our revenue exceeded $50 million last year. And we expect the 2022 levels to be below that at this point. And the reason for that is pretty obvious. I mean, in the developed world, we've seen a decline in new cases and, frankly, a drop in the severity of these new cases. So, it's, obviously, great news. And I would tell you that, at Entegris, we are obviously very proud of the role we played in the global fight against COVID. But short-term, clearly this positive development from the public health standpoint also means that we expect fewer vaccines and fewer booster shots to be administered globally. So, that's really the latest forecast, and it's really driven by the latest information we've got from our customers. Now, having said all of that, we are very excited by the product line. We are seeing a lot of new opportunities filling up the pipeline, opportunities that are related to new therapies that are non-vaccine, non-COVID-related. And that bodes, actually, really well for the long-term prospects of the Aramus bag. But short-term, clearly in 2022, it will be a little bit of a headwind, which we will make up by the strength of the other parts of the portfolio. Again, I think, one of the key themes of our Analyst Day is that our growth is -- I mean our growth expectations are strong, and there is a lot of optionality in our growth formula. And I think this year is demonstrating that once again.
Toshiya Hari: Very clear, thank you so much.
Bertrand Loy: Thank you.
Operator: We'll take our next question from Kieran de Brun with Mizuho.
Kieran de Brun: Morning. I was just wondering, you mentioned the organic growth above market being between 500 and 700 basis points, I believe, this year, which is ahead of the expectations you outlined during the Investor Day, of 300 to 500 basis points. Can you maybe help us parse out what percentage of that is coming from share gains as opposed to just the quicker adoption of leading edge memory and logic chips? And how we should think about that in the context of maybe your longer-term growth? Thank you.
Bertrand Loy: Yes, I don't have a very precise number to give you. I mean, we have anecdotal evidence that we are taking share across a number of strategic product lines. But, by and large, the growth is really coming from [SAM] [Ph] expansion. We are seeing growing consumption of advanced filtrations in fab applications, but also upstream in the ecosystem as bulk chemical manufacturers are required to reach greater levels of purity in their bulk manufacturing processes. So, that's driving the adoption of, and the usage of more advanced filters and greater frequency of replacement of those filters. So, that's -- again, that's the SAM growing. And as I said, I think we have evidence that we are also taking share across those applications in the fab and the bulk chemical environment. And then from an SCEM standpoint and materials consumption, we have also made some great progress across a number of product lines in our deposition materials, in particular, in our selective [nitrite edge] [Ph] solutions, which are all starting to be adopted in [indiscernible] manufacturing processes as high early account architectures are now being manufactured. So, again, those high aspect ratios are requiring those highly engineered chemistries to etch precisely those very delicate structures. And we are starting to see some very important wins on that front. So, again, it's going to be mostly SAM expansion, and with a little bit of share gains.
Kieran de Brun: Great, thank you. And then just a really quick follow-up in terms of kind of the raw material and logistics headwinds, can you give us just a quick update on what you're seeing in the quarter and how you think about those trending throughout the course of the year? And then maybe, I know, historically, pricing hasn't been a major component. But in the event, I guess, that this drags on longer than expected or these headwinds are more pronounced, how do you think about the ability or potential to push pricing in the future? Thank you.
Bertrand Loy: Yes, so the supply chain situation will certainly be a big focus for the team. [Technical difficulty] -- progress managing a number of known supplier situations. But needless to say, that my -- like many other industry participants, we are facing new situations regularly. And fortunately we have a great team that has demonstrated a lot of proficiency in managing those difficult environments. So, we expect supply chain situations to be a factor throughout the year. We expect to continue to make steady progress throughout the year. But as I said in my previous comment, we expect to be supply-constrained for most of the year, in 2022. When it comes to inflationary pressure on our input materials, that's also something that we've been watching very carefully, we mentioned, last year, that we selectively decided - to increase our prices to offset some of the more permanent price increases that we're seeing in some of the raw materials that we are using in our manufacturing processes. We're continuing to manage the situation and if there's a reason for us to make additional adjustments in our prices as an offset to inflationary pressures, then that's something we will be doing, but we have not decided that quite yet.
Kieran de Brun: Great. Thank you very much.
Operator: We'll go to our next question from Sidney Ho with Deutsche Bank.
Sidney Ho: Thanks and congrats on the solid Q1 results and the outlook for the year. I understand you just raised your full-year guidance, but the inbound calls that we're getting from the investors have been asking more about the financial -- potential downsides to your estimate. Considering your lead times and delivery schedule, can you help us talk -- can you talk about if the macro continues to weaken and may be impacting your customer production activities, are there any particular segments or protocols that will have more risk than others? Or are you fully booked such that there is not much variability in the second half of the year?
Bertrand Loy: So Sidney, I think that right now we have probably more visibility than we have ever had. But as I always say, we don't have perfect visibility, nobody has. But based on the discussions we've been having with our customers across the entire ecosystem. We believe that 2022 will be a very solid year for the industry. The fabs are fully loaded. And as far as we can tell from discussions with customers, they are fully loaded for the balance of the year. We also continue to expect very healthy levels of CapEx and we are seeing new fab construction projects being commissioned. So, again, all of that gives us a fair amount of conviction around the industry hypotheses that we've been using for this guidance.
Sidney Ho: Great. Thanks. My follow-up question is because of the supply constraints, some of the equipment suppliers are investing in R&D to qualify new supplies and redesigning the tools as a way to mitigate their supply headwinds. Do you see that as a risk to your business? Obviously, on the consumer side, if your customer starts to qualify other suppliers, or are they already doing it? And on the flip side, how do you manage your own supply chain? Do you have to put in more resources to work around these shortages, meaning qualify new supplies? Thanks.
Bertrand Loy: So, look, I mean, I think to the best of my knowledge, we are not the cause of production interruptions at any one of our customers. So, today we believe that we are meeting customer expectations for the most part and I hope it continues and I hope that they don't feel the need to qualify alternative suppliers to Entegris because they value the technology and the value the service levels that they are getting from Entegris and they also valued proactive way and effectively with which we've been managing this very complex supply chain environment and that leads me to the second part of your question, which is the fact that we invested several years ago into a very talented professionals, problem supply chain management team. I think we have introduced a number of tools. We are relying on, again common systems on a global level, which gives us good visibility into our supply chains and good capability in assessing supply chain risks and trying to get ahead of them. I think we saw evidence of that, in the recent Russian, Ukraine crisis where we were able to pinpoint some potential looming risks and took proactive steps to secure raw material inventories that we were sourcing from this region. And enough material to give us plenty of time to qualify alternative suppliers based elsewhere in the world. So again, that's just one example, but just again, giving a lot of credit to this team that has done a great job for us, not just this past quarter, but frankly, in the past 2 years.
Sidney Ho: Thank you.
Operator: We'll go to our next question from Patrick Ho with Stifel.
Patrick Ho: Thank you very much and congrats on really nice execution in this environment. Bertrand, maybe just give -- get a little more color in terms of the upside on the semiconductor marketplace. You talked about the industry updates. Can you just give a little more color between the upside you're seeing both at the leading edge wafer starts as well as the mainstream given the continuous strength of the trailing edge nodes.
Bertrand Loy: Yes, I mean, we saw strengths across the across the board as I was mentioning in my prepared remarks. So, on a mainstream front, it was really particularly helpful for our 200 millimeter and below wafer shippers and wafer carriers that we reached out to those mainstream fabs. So, certainly that was a big help for the AMH division. But the growth is really mostly driven by leading edge and as you can understand when the industry is so focused on output maximization, it means that they are very focused on yield optimization and defect management and therefore they are very focused on contamination control. So, it's a great setup obviously, for filtration products, and other solutions critical to achieve optimum yields and that's one of the reasons why we expect the outperformance to be very attractive this year.
Patrick Ho: Great. That's helpful and maybe as a follow-up question for Greg. You guys execute extremely well, delivered really strong gross margins. On a going forward basis, is it volume that's going to be the biggest influence for gross margins offset by some of the continuous supply constraints and higher input costs or is there going to be other variables that I guess impact gross margins for 2022?
Greg Graves: Yes, I think he kind of answered the question Patrick. It really is. I mean, it's volumes of strong execution, execution both at the factory level as well as on the sales side of the house as Bertrand mentioned earlier, we have had some opportunity for artists pricing increases in selected instances. And then like I said, you'll have the -- will continue to see headwinds on over input pricing resins being the most significant as well as higher logistics costs.
Patrick Ho: Great. Thank you very much.
Operator: We'll go to our next question from Josh Silverstein with Wolfe Research.
Josh Silverstein: Yes. Thanks, guys, good morning, I was going to touch on the same question on gross margins. If MC and AMH are kind of trending above the [L&E] [Ph] that you guys had in the December Analyst Day. We're just kind of curious if you think that we go back into those ranges going forward. And then, how do you think those might try and post the close of the transaction next year?
Bertrand Loy: Yes, so if you think about the three divisions, you're right, I mean, MC is performing above the range that we had talked about damage a little above as well. And then CMC really in the range, I mean, as I think about kind of the balance of this year, I think you'll see enough stability in SCEM, AMH, stable to maybe modestly down a point or two, and then MC I think we'll continue to see leverage in that business as we expect to see improving next in the back half of the year.
Josh Silverstein: Got it. And then, you guys have this longer term chart as well just on leading edge logic a member of growth as well continuing to kind of increase as a percentage of the total federal capacity. Is that accelerating faster based on your kind of growth from 10% to 12%, kind of industry growth, and just kind of curious because that's certainly where your leverages as well.
Bertrand Loy: So, I think clearly the industry is growing really as a function of the level of fab utilization, which is very strong right now, most fabs are running at full capacity and are fully booked and fully loaded for the balance of the year, so, again, great, great environment to operate in. The reason for the outperformance continues to be the growing Entegris content, but wait for opportunity at the leading edge. And as you understand our customers are really driving very aggressive roadmap transitions trying to improve the performance of their devices in different ways. The two major ways they are doing that is adopting more complex device architectures. And to do that they will need highly engineered materials, new materials and we are very focused on developing those materials. They will need new highly selective etching technologies to etch up and down those highest big ratio features. So, we are also very focused on those opportunities. And then, the other way they are trying to improve their chip performance is by continuing to drive miniaturization and for that, they will be increasingly concerned with smaller defects, and that's where our micro contamination platform comes into play. Our advanced filters are essential to remove killer defects and we have become the partner of choice to enable further miniaturization on the surface of the wafer. So, again, that's why we like to say that the confluence of all of those factors is really playing to our strengths. And that's really what is driving the very strong performance this year.
Josh Silverstein: Great. Thanks, guys.
Operator: We'll go to our next question from Timothy Arcuri with UBS.
Timothy Arcuri: Thanks a lot. Bertrand. So, I'm just trying to pinpoint the Delta and sort of what's changed versus 3 months ago. It sounds like MSI's are still growing 8%. I mean, that's about what you thought it would grow maybe to touch better. CapEx is up now 20% versus mid-teens. So, it seems like the upside is yet spread across both, but probably a bit more on the CapEx side. So, I just wanted to confirm that, that's the case. And I wanted you to talk about the CapEx side. Because obviously we're seeing more WFE push from the first half of the year into the back half of the year. So, I'm wondering if you can sort of characterize, any change in customer behavior or are they pushing out procurement of items from you or are they taking stuff on time and tools are just going to ship when they can get other components.
Bertrand Loy: So, Tim, first on your industry assumptions, I mean, you're correct. I think the change in assumptions is really mostly driven by our view on the industry CapEx. I think the reason why we haven't really changed our MSI projections is because we recognize that there is some capacity limitation with the wafer growth and I don't think that the industry will be able to grow a lot faster than 8%, 9% in MSI this year as a result of that. I mean, we're all aware of a number of new investment being made by wafer grows, but I don't expect the new capacity to come online until probably later in 2023 and then of course, in 2024, so that's the reason. The demand is here, but wafering capacity will be the constraint for MSI in 2022 at least. And then, in terms of how is our OEM business performing? It's performing well, I mean, strong demand for products within we're citing a number of product lines growing at 50%. So, it is telling you that we are performing probably better than most suppliers and our OEM customers would take more of our products. If we could actually get access to all of the raw materials that we need to ship those products. We expect to think about the year, expect steady progression in our top-line as we continue to increase our internal capacity and as we continue to find solutions to of sight on some improving situations with some of those suppliers, so expect steady growth throughout the year and the back end of the year being up versus the first half of the year.
Timothy Arcuri: Thanks a lot. And then, I guess as a second question, which is sort of harkening back to a prior question that was asked, when things do roll over, when the cycle finally does roll over, it's kind of always easy to look back and say, yes things did change just a little bit in this one market. And we didn't think much of it at the time. And if you look at the stock market, it's certainly telling you that, estimates are going to begin to roll over in the next six to nine months, your stocks down 20%, during the past month, the industry is down 15%. So, I guess the question is, I know right now you have great visibility, but the question is, do you see any even small changes in the behavior of customers in any given end market that maybe like, nine months to a year from now, you might look back on and say, well, I didn't think much of it at the time. But in fact, that was a harbinger of broader change in demand environment?
Bertrand Loy: It's a fair question, Tim. I mean, it's a question that we're asking ourselves every day, every week, we're not seeing any signs of concern with the exception of idiosyncratic situation in China and the lockdowns. But putting that aside, I think that we see strength across the board. I mean, certainly, we are taking notice of the flattening of demand for cell phones and PCs, but I think everybody I think, understands that the silicon content in the next generation of phones to 5G phones and even in PC is so much higher than previous generations. But even if those particular drivers remain flat demand for semiconductors will continue to surge and we all have obviously very pleased with the fast penetration of EV. And more advanced cars around the world and all of that is going to drive demand for semiconductors. So, I think that we are seeing the proliferation of so many new emerging applications requiring greater silicon content that continue to give us confidence that we are at the beginning of a multi-year phase of growth for semiconductor demand. I think on the CapEx side, we certainly have a little bit less visibility. And we're always a bit concerned about a moderation in the CapEx cycle. But remember that we have very little exposure to CapEx, it's 30% today, and with the completion of the CMC acquisition, it will be less than 20%, so, certainly something to watch, but not a big concern for us.
Timothy Arcuri: Thank you very much, Bertrand.
Operator: We'll take our next question from Chris Kapsch with Loop Capital Markets.
Chris Kapsch: Yes, thank you for taking my questions. So, I hate to do this. But just a follow-up on something that's been the focus of a handful of questions, just on your stronger performance relative to the industry, while the industry strength skews a little bit more towards WFE, you mentioned your outperformance is really more about on the consumable side and you flagged no transitions in particular as a driver, the greater content away for obviously on the advanced node. I'm just curious if it's that dynamic in terms of driving the upward bullishness with respect to your guidance is skewed towards memory or logic boundary node transitions?
Bertrand Loy: So, Chris, it's both like it is a matter of fact, both memory and logic foundry grew at about the same rate in Q1. And in terms of where the outperformance will come, I mean it is going to come from across the product lines, right. I mean, we talked about very strong growth in our CapEx driven products. But it is true that I am particularly pleased to see very strong growth with some of our unit driven product lines, some of the strategic product lines that we've been discussing extensively with you over the past few years on deposition materials, advanced filtration, if you think about SCEM, which is really a pure unit driven play, it's growing at 18%, we expect that performance to actually continue to remain very steady on a full-year basis and 18% growth for unit driven product platform that's actually very, very solid. On the liquid filtration front, we are growing in excess of 20% and we expect that performance to remain just steady throughout the year, so, again very, very strong performance from some of our strategic product lines.
Chris Kapsch: Got it. And you had mentioned the application solving the challenge around high aspect ratios. And to me that was translating your French, no pun intended would be focused more on memory, but it sounds like it's really across the board.
Bertrand Loy: It's across the board. And it's across the board simply because the Logic segment has been again operating at very, very high level of fab utilization, they are very focused on yield optimization. And as I was mentioning, that is driving high consumption of advanced filtration solutions. So, it's a good problem to have, we have most of our growth drivers are running in high gear right now.
Chris Kapsch: Got it and then the one follow-up I had was really probably more toward for Greg, the dollar just recently, has had pronounced strength against certain currencies, particularly the Yen and in the past and installing CMC materials have, that's been actually a tailwind to the extent they've produced products in Japan, but sold to other chip producing countries in dollars. I'm just wondering if you see that same dynamic is that a potential tailwind for the businesses here probably didn't come into play with guidance, but just want to know what your thoughts are on that. Thank you.
Bertrand Loy: Yes, so let me just hit currency broadly. So, year-over-year, the impact from weakening Yen, from the movement was about a $10 million impact on our revenue to the negative year-over-year is about $3 million to $4 million sequentially. I would say what I've always said in that is from an operating margin perspective we tend to be it's not a perfect hedge, but because we manufacture in Japan, and also sell in Japan, it tends to be a pretty natural hedge. And I'm not entirely familiar with CMC supply chains. I really can't comment on that. But it sounds like from what you're describing, they probably have a similar situation. But as I think about our margins, it's certainly not sort of one of the things in our walk charts, not that doesn't relate to that.
Chris Kapsch: Fair enough, appreciate it. Thanks.
Operator: We will take our next question from Paretosh Misra with Berenberg.
Paretosh Misra: Thanks. Good morning, everyone. Just a question on your Taiwan facility, how's that coming along? And are there any new incremental challenges you're encountering there, given all that's been going on in the world?
Bertrand Loy: I am actually very pleased with how this project is going. The construction is well underway. It's on schedule, on budget. So, again, the team is doing a great job there. So, we continue to expect the first tools to move in towards the end of this year. And we expect customer qualifications for certain products to begin in the first half of next year, so, largely on schedule.
Paretosh Misra: Great to hear, thanks. And then maybe as a follow-up, if you could maybe provide a bit more color on your AMH segment and up what kind of demand you're seeing for different products, fluid handling, wafer handling and other that would be great.
Bertrand Loy: Yes, so great performance, obviously from our AMH division, the demand was at record level across many, many different product lines. I would probably just highlight a few, I mean our fluid handling products that are used both by equipment makers as well as in order the fab construction projects in the chemical delivery loops into sub fabs. I mean that product line grew in excess of 40%. Our Food platform, which has become really the industry standard for the advanced memory and logic fabs is doing extremely well. So, we're very pleased that we added capacity a few years back, and we're putting that capacity to good use, that product line is growing in excess of 50%. So, again, those products are obviously benefiting from the strong industry CapEx environment, and doing a lot better than the overall industry CapEx growth. But as I was mentioning earlier, we're also very pleased with the positive impact of the high level of activity in mainstream fabs and we saw some really strong performance from some legacy products 200 millimeter, 150 millimeter wafer shippers and wafer carrier products, so strength really across the board in AMH.
Paretosh Misra: Thanks, Bertrand.
Operator: We will take our last question from Aleksey Yefremov with KeyBanc Capital Markets.
Aleksey Yefremov: Thanks. Good morning, everyone. Bertrand, I think you mentioned in the past that auto industry could transition to more advanced nodes because of the shortage of legacy capacity. Have you seen any developments on this front during the quarter?
Bertrand Loy: I mean, we don't really have perfect visibility to that. I mean, we are hearing that from our fab customers. And I think that they are actively trying to create the proper conditions for a number of those applications to transition to near or nearer leading edge processes. And I think again, I think for us what really matters is the level of wafers being produced at leading edge, or near leading edge nodes. And we're continuing to see very strong advancement and progress there, which is all very positive for us, given the greater content per wafer that we have at the advanced node. So, we're seeing that, certainly we're seeing that.
Aleksey Yefremov: Thanks, Bertrand, and sort of on the same subject, you mentioned that you're happy with the pace of transitions to leading edge this year, if I remember correctly, next year could be even sort of larger leap in terms of leading edge transitions. Did you gain any more visibility or confidence that those positions in 2023 would happen sort of as expected?
Bertrand Loy: Yes, well let's focus on this year first. I mean, we still have a lot of ground to cover. I think that as I said, we are increasingly bullish for the long-term prospects of this industry. We think that we are seeing the emergence of many new demand drivers. We're seeing very aggressive technology roadmaps by on the leading memory and logic and Foundry manufacturers. All of that are great conditions for our business. But again, it's an industry that remains hard to forecast. And I think we have some good visibility for this year. The visibility is certainly not good enough for me to really engage into that discussion for next year quite yet, but we'll talk about it later this year or early next year.
Aleksey Yefremov: Thanks, Bertrand.
Operator: And that concludes today's question-and-answer session. Mr. Seymour at this time, I'll turn the conference back to you for any additional or closing remarks.
Bill Seymour: Thank you. And everyone have a great day.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.